Operator: At this time, I would like to welcome everyone to the International Flavors & Fragrances fourth quarter and full year 2008 Earnings Conference Call. Today’s call is being recorded. All participants will be on a listen-only mode until the formal question-and-answer portion of the call. Participants will be announced by their name and company and in order to give all participants an opportunity to ask their questions, we request a limit of one question per person. I would now like to introduce Richard O'Leary, Interim Chief Financial Officer. You may begin.
Richard O'Leary: Good morning everybody, and welcome to the IFF fourth quarter and full year conference call. With me is Rob Amen, Chairman and Chief Executive Officer. Our earnings release was filed this morning and it is available on our website, iff.com, in the Investor Relations section. As you know, during this call, we may make forward-looking statements about the company's performance. These statements are based on how we see things today, so they contain elements of uncertainty. For additional information concerning factors that could cause actual results to differ materially from the forward-looking statements, I ask that you refer to the cautionary statement and risk factors contained in today’s earnings release and in IFF’s filings with the Securities and Exchange Commission, available on our website. Some of today's prepared remarks will exclude those items that effect comparability. These excluded items are captured in our GAAP to non-GAAP reconciliations available on our website. Now here is what we are going to cover on today's call. Rob will open with an overview of the fourth quarter performance, then I will provide a review of our fourth quarter and full year financial results. And following closing comments from Rob, we will then take your questions. Now, let me turn it over to Rob.
Rob Amen: Thanks Rich. Good morning everyone. Hopefully, by now you had the opportunity to see the press release and you share my impression. I'm generally pleased with our performance in the fourth quarter, especially in light of the global economy. Fourth-quarter earnings per share, adjusted for non-recurring items, was $0.50 a share, down $0.03 from last year's fourth quarter. Rich will provide you an analysis of the key drivers to this earnings per share change. Our local currency sales were up 2%, a bit above my expectations. I will comment on the regional performances when I address the business units in a few moments. Operating margins were at 12.3%, below last year's fourth quarter of 12.8%. The gap of 50 basis points in margins actually shows real progress in recovering from the cost escalation in materials and input costs and the gap that we have seen it prior quarters this year. Currency parities shifted a great deal. In the fourth quarter, the dollar versus the pound was 18% stronger than the third quarter of ‘08 and 20% stronger than the fourth quarter of ‘07. The euro or the dollar, I should say, was stronger versus the euro by about 13% versus the third quarter this year, and about 10% stronger than the fourth quarter of last year. Blended together, currency parity changes were about a 5% drag on revenue, and hit us for about $0.02 per share. Rich will give you a much more detailed analysis of the translation of balance sheet items that impacted this later on. In the quarter, our interest expense was again higher. You'll recall, in our October call I spoke to you about the interest-rate swap that was causing our interest rate – interest expense to be higher and it was higher this fourth quarter by about $3 million versus last year's fourth quarter. Also during the year, we initiated a performance improvement plan, which resulted in a special charge of $12 million. And as I have said before Rich will give you more details on it. But let me turn to the full year, local currency sales for 2008 were up 2% in line with the growth we reported in the third and fourth quarters. And if you compare this to the course of revenue growth over the year, we have clearly seen a slowing in growth rates around the world since September [ph]. Flavors had a strong year all year. Our Flavors business was up 8% in local currency in the first half and up less in the second half. For the year, the business grew 6% year-over-year. Our Fragrance business fought back from a weak first quarter, and showed excellent improvement in Asia and in Fragrance Ingredients. Earnings per share on an adjusted basis were at $2.76, up 4% and a new record for IFF. 2008% presented a lot of challenges; a weak US economy, soft fine fragrance market in US and Europe, volatile currency markets, and a sharp slowdown in the global economies in the second half. I believe, IFF managed to meet most but clearly not all of these challenges. While we always want to do better and to accelerate our growth in sales and profitability, I'm pleased with the results that we recorded. Now let us turn to the businesses. Our Flavors business had a strong performance in all regions all year. The driver of this growth was winning new businesses. Our flavor teams won a significant amount of business all year in the key categories that we are after in beverage, sweet, and in savory. Local currency sales growth of 6% was really excellent. The business did slow along with the global economies as the year progressed, but was still up more than 3% in the fourth quarter. I was impressed with the growth in the fourth quarter sales in North America. You may recall that North America Flavor sales were flat in the third quarter, reflecting customers’ pulling down inventories. Well today, pulled them down enough that they had to restock and North American sales were up 4% in the fourth quarter. Latin America was the star performer all year, but the sharply higher US dollar hurt our fourth-quarter sales. For the year, the Latin American region grew local currency sales 21%. The greater Asia team performed well consistently throughout the year. For the year, they recorded 10% growth in local currency sales, an excellent performance. Demand was good across the categories, which confirms our category platforms of excellence are in fact providing superior products to our customers. Margins in the Flavor business were off due to the rapid escalation of input costs, currency changes, and some internal cost allocations. We were not able to fully recover these costs, and consequently margins were down about 50 basis points in the fourth quarter or year-on-year. The Flavor business, however, had a very solid performance all year. Turning to our Fragrance business, I am proud of how our Fragrance business fought back from the disappointing start in the year. Now, we estimate that the global fragrance market was at best flat and probably down 1% to 2% for the entire year. So for the Fragrance business to have local currency sales being down a fraction of 1% to me shows a very, very good performance by this group. North America made a good recovery after negative comparisons for three consecutive quarters. The fourth-quarter sales were even with the fourth quarter of ‘07. Given the weak US economy and weak fourth-quarter consumer spending, this was a good comeback. And this was accomplished by achieving a strong win rate this year. Fine fragrance sales were in fact much stronger than the market in the fourth quarter, and we believe, we extended our market share gains there. Asia had an excellent year and a strong fourth quarter. Our Ingredients business delivered on their prune and grow [ph] strategy. Despite exiting selected commodity products, they grew sales and restored their profits meaningfully. Operating margins continued to trail the year earlier period. So, we have more work to do. I believe our cost recovery efforts and the cost reduction initiatives are succeeding and will help improve our margins as we more through 2009. The Fragrance business is doing a lot of good things and they are going to win. Looking at the highlights for the year, a key reason I'm pleased with the 2008 performance is that we didn't lose our strategic focus. Yes, we had challenges galore in the United States and other regions. The teams in Flavors and Fragrances adapted. They also continued on working to build a stronger IFF. Our investments in material science and consumer understanding continues. This propelled our platforms of excellence forward, which is foundational for our future success. We continue to invest in our customer support facilities such as creative centers in New York region, Shanghai, and Sao Paulo, so we can better meet our customer needs. We strengthened our talent pool by developing our people and attracting some key individuals. I believe IFF delivered good results for 2008 and we are a stronger competitor today then we were a year ago. Now Rich, will you please update these folks with some more insights into results for the quarter and the year.
Richard O'Leary: Thanks Rob, and good morning to all of you. Now let's start with a look at consolidated sales in slide 11. We did have good results in quite a challenging environment. Fourth quarter sales decreased 3% as the stronger dollar more than offset 2% local currency growth. As Rob said, our Flavors business continues to perform well reporting 3% growth in local currency, while the Fragrance sales were flat in local currency for the quarter. For the year, we have seen a softening in demand in the second half of the year. Overall, local currency sales increased by 2% with Flavors performing well in all regions throughout the entire year. As Rob said, Fragrances climbed back from a disappointing first-quarter and in the year down only 1% in local currency. Emerging markets were key drivers of growth for both businesses. The recent strengthening of the dollar represents an important shift in the operating environment compared to the first nine months of the year. During the quarter, the dollar appreciated about 11% against the basket of sales currencies. With about 40% of revenues effectively priced in US dollars, the impact on reported sales was 5% unfavorable. Still, this equates to about $27 million decline in net sales, more than offsetting favorable volume, price, and mix impacts for the quarter. In terms of profitability on slide 13, gross margin was down 90 basis points for the quarter, and represents a significant improvement compared to the third quarter gap of 190 basis points. Input costs continued to rise during the quarter. We made good progress in price realization, cost reduction, and margin improvement efforts. And we are not positive yet in terms of input cost recovery, while we have closed the gap in the fourth quarter. Operating margin is down sequentially, but the fourth quarter is historically our weakest quarter. On a relative basis, the positive trend continues reducing the year-over-year gap to 50 basis points in the fourth quarter. As you may recall, the gap in the third quarter was 80 basis points after normalizing for incentive compensation. For the year, operating profit increased 2% to $373 million, excluding comparability items. Now moving to the individual business performance, looking at the top line we are pleased with 3% local currency sales growth for Flavors. This continues a trend of 14 consecutive quarters of growth for this business. We have good results across most segments. Savory has shown consistent growth throughout the year, whereas beverages did slow somewhat in the fourth quarter. And we are clearly winning in the emerging markets. But the appreciation of the dollar has impacted local currency sales and demand in these regions. Looking at the bottom line, segment profit decreased $10 million. Operationally, this reflects good volume growth and positive mix but these were more than offset by unfavorable currency impacts, insufficient input cost recovery, and (inaudible) expenses of about $6 million, including incentive compensation and a portion of the severance in the fourth quarter charge. Turning to our Fragrance business on slide 15, some things went well and we struggled elsewhere. Overall, sales were flat in local currency for the fourth quarter. Greater Asia continues to produce solid gains and the Ingredients business has made significant progress year-over-year. Fine fragrance globally was flat year-over-year in local currency as improvements in the US and Latin America offset significant weakness in Europe. Overall, Fine & Beauty was down 3% in local currency due to lower volumes in hair care and toiletries. Functional fragrances were up 1% globally, selecting new wins in volume in Asia primarily for personal wash and fabric. Operating profit increased to $41 million. This is mainly due to lower (inaudible) expenses including incentive compensation of $10 million, offset by $2 million of severance from the fourth quarter charge. Operationally, price realization and margin recovery efforts were more than offset by negative sales mix and unfavorable currency impacts. Now, let us take a look at input costs for the quarter. Last time I took you through the key components and some of the drivers impacting year-to-year trends. In the fourth quarter, we still had substantially year-over-year cost increases, but the rate of increase has stabilized at around 5%. We are seeing improvements in petrochemicals, freight, and fuel surcharges and there has been some easing in certain specialty chemicals. Most of our supply contracts had quarterly or semi-annual resets. Therefore, we will not begin to benefit from the most recent price changes until our first quarter purchases. And once we work through higher cost inventories, we should begin to see some cost relief sometime during the second quarter. Turning to foreign exchange, the dollar was much stronger during the fourth quarter. The net impact to the fourth quarter was $0.02 per share, but this includes really two distinct elements. First, on an operating basis looking at our revenues and expenses there was an unfavorable foreign exchange impact of about $0.04 per share, and I will discuss this a little bit more in the next slide and the drivers of that. This was partially offset by balance-sheet gains of about $0.02 per share on working capital items. Overall, looking at our current sales mix and cost structure I estimate that for each 1% change in the US dollar has about $0.01 to $0.02 per share impact on an annual basis. Turning to page 18, you will see a breakdown of our sales and operating expenses by underlying currency. While almost 75% of our revenues are generated outside the US, the actual currency impact on our operating margins is much less. This is due to the fact that significant portion of our revenue base, especially in the emerging markets are transactioned either directly or indirectly in dollars. This provides a partial hedge for our business. Overall, our largest exposure is to the euro from which 40% to 50% of our operating profits is derived. Before looking at the EPS components for the quarter and the year, I wanted to review to specific items impacting our fourth quarter results. First, we initiated a performance improvement plan that will affect approximately 90 positions globally. This resulted in a restructuring charge of about $12 million for severance on a pre-tax basis. When fully implemented in 2009, projected savings of approximately $9 million annually. And second, we recognized a $17 million tax benefit in the quarter following the completion of an open tax audit overseas. Now looking at slide 17, summarizes the individual impacts impacting earnings per share for the fourth quarter. Reported earnings per share were $0.62 in 2007 versus – in 2008 for $0.62 versus $0.58 last year. Overall on an adjusted basis earnings per share was $0.50 compared to $0.53 in 2007. Net commercial, which combines volume, price, and mix was $0.16 favorable. However, of this $0.12 is really the pricing impact. And comparing that to the input cost, this makes the gap in input cost recovery unfavorable about $0.02 for the quarter. Does represent a significant improvement versus the $0.10 gap we had in the third quarter. As Rob mentioned, the interest rate swaps caused us about $0.03 per share, and while the spreads have narrowed, we should begin to benefit from that later in the first quarter. Overhead expenses were down slightly ex-foreign exchange as lower compensation expense offset planned spending increases. And last, you see the currency impact that I have already discussed. Now turning to slide 21, you see the earnings components for the full year. Reported earnings per share in 2008 was $2.87 compared to $2.82 in 2007, whereas adjusted EPS was $2.76 this year compared to $2.66 last year. Clearly, the main challenge we face this year was input cost recovery, and it has a $0.10 per share gap between our commercial improvements and input cost increases. Overhead expenses were $0.03 favorable, ex-foreign exchange, as cost containment and $22 million reduction in incentive compensation expense more than offset planned spending to support our growth initiatives. For the full year, US dollar weakened average-to-average adding $0.15 per share to earnings. Interest expense reduced earnings per share by $0.29 per share. However, excluding $0.07 per share associated with the interest rate swaps primarily in the second half, we see that the effect of the share repurchase in 2007 was favorable by about $0.04 per share. Now let's recap our financial position as we head into 2009 and a scenario that we feel very good about. We finished the year with $178 million of cash on hand, net free cash flow was about $150 million for the year. We realized about $40 million in working capital improvements during the fourth quarter compared to the third quarter of 2008. We continue to have significant drawdown capacity on our multi-year revolver and we have very little debt maturities required this year. What is next? Well, we clearly we will face additional challenges in 2009 including volatile currency parity, higher pension expense probably in the range of $5 million to $10 million on an incremental basis, and there is still uncertainty regarding global economic growth. We will continue to manage our operating costs taking into consideration near-term market demand as well as our long-term growth plans. Our management team remains focused on profit improvement. This said, we should see some easing in input costs by the middle of the year and we should benefit from lower interest rate spreads beginning in the second quarter. Last, while we have made progress in reducing our working capital burdens, we have additional opportunities in front of us. Now let me turn it back to Rob for his wrap up.
Rob Amen: Thanks Rich. In the fall of 2006, I set out a series of strategic goals for revenue, margins, and earnings per share. And since then we over delivered in 2008, pardon me over delivered in 2007; and in 2008 came in below our plan. I'm pleased with the progress IFF has made but I'm not satisfied. Given the external environment, we will face in 2009, weaker economies, currency parity shifts and the other burdens that Rich outlined it is going to be particularly challenging to meet our three-year goals. That said, our executive team remains committed to growing our sales faster than our market growth, improving operating margins by reducing cost, leveraging volume, and growing EPS. 2009 will be a very challenging year in which to operate. We will, however, continue to pursue these goals. Now, let us look ahead. As I said, we will continue to pursue our growth strategy because we believe in the long-term growth potential of the global economy. It is likely we will see some below trend line growth in the periods ahead, but I believe in time the developed world will recover, and the emerging world will regain its growth rates of 6% to 8%. That said, it is unusually difficult to forecast the first quarter. Given what I see today in our forecasts an order book, it appears to me that we are on track to have local currency sales to be roughly in line with the first quarter of 2008, perhaps, a little bit lower, perhaps a little bit above. The currency shifts that Rich outlined will be a drag on the top line of about 5%, and that will likely impact our earnings per share by $0.04 to $0.06 in the quarter. We will continue to pursue our improvement initiatives. Raw materials will likely still be high in Q1 because of the way the cost flowed through our inventory. I believe that raw material costs will begin to abate and we will see a benefit of that starting in the second quarter. In 2008, IFF continued to progress. Sales and earnings per share were both records. We strengthened our company and certainly the future presents many challenges. However, I have remained very confident that IFF will grow faster than our markets and improve its profitability. Now Rich and I will be very happy to answer questions. Sunny, if you could manage the flow of questions.
Operator:
Erik Sjogren – Morgan Stanley: Yes, good morning.
Rob Amen: Good morning Erik. Glad you are here.
Erik Sjogren – Morgan Stanley: Good morning. I have just one question, I mean a lot of the staples companies have now in the fourth quarter been talking about significant destocking will retailers et cetera. Has this impacted order sizes, order volumes, frequencies et cetera on your end too or –
Rob Amen: As I mentioned when I commented about North America, we are seeing I think many cycles at varying places, reducing orders, and then catching up, and I think that is going to be highly likely that in the quarters ahead were going to see those short-term volatility. In the end, when I take a look at some of these – our customers announcing, you know, they are still anticipating volume to be plus or minus 0% to 1% or so, but I think the way they managed the order flow will present some quarterly challenges. As I pointed out in the third quarter, North America where we saw the early destocking, our sales were flat year-over-year. That turned around and sales in North America were up a strong 4%, well faster than the economy because the destocking had gotten too far. So, I think we will see that volatility on a go forward basis.
Operator: And our next question comes from the line of Lauren Lieberman with Barclays.
Ryan Bennett – Barclays: Hi, good morning. This is actually Ryan Bennett here for Lauren today.
Rob Amen: Hi, Ryan, how are you today?
Ryan Bennett – Barclays: Doing well, good morning. So, I guess, one very quick question and then a broader one, first just on the pension expense, can you give us a sense of how much of a hit that will be in ‘09?
Richard O'Leary: Like I said incrementally ‘09 versus ’08, it is in the range I would say between $5 million and $10 million incrementally.
Ryan Bennett – Barclays: And perhaps everybody would benefit Rich, if you just explained what is the source of that? Why is pension expense up in ‘09 versus prior period?
Richard O'Leary: There is really – the biggest component of that is the decrease in pension assets across the spectrum of the US and European plants. And while the assets from a performance standpoint, we had much less exposure than the board of markets because the mix of our investments in stocks and – bonds versus stocks, there still is a significant impact year-over-year in terms of the erosion in the assets. And there has been some changes in terms of interest rates, some slight modifications in the interest rates and the discount rates that we used year-over-year.
Rob Amen: Some of you may recall, we actually froze a US pension plan more than a year ago. And this incremental charge is really related to the decline in the equities market, and that decline has to be recognized over a period of time. So, I suspect IFF will be one of many companies facing this added burden, and it is a non-cash charge in the short run, we don't have to add – we don't make cash contributions but it is going to be a burden and that will be over the next several years. Correct?
Richard O'Leary: Yes, depending upon the recovery in the assets, but there is amortization in the spreading mechanism that does – the impact is not felt immediately but if the equities and the planned assets stay where they are today there is going to be an increase in burning over the next five years.
Rob Amen: Okay, Ryan. Now, you brought a question. Hello?
Operator: Your line is open.
Ryan Bennett – Barclays: Okay, great. So Rob when you're thinking about 2009 broadly, it is sort of an unfair question because there is not that much visibility. In fact I think you know, (inaudible) didn’t even provide guidance this morning for 2009. So just in very loose terms, if volumes were to come in much lower than you expected, what sort of flexibility are you building into the P&L to be able to absorb some of that.
Rob Amen: Yes, that is a hypothetical question and really isn't a good one to handle because, you know, we are not seeing it globally. We are going to be agile where we are really committed to delivering on our plan and growing and we will adapt it. We are shifting our investments in people and assets. We have clearly cut back a little bit more in the developed countries but we will continue to invest where we see the market opportunities. And I want you to remember that our ‘09 isn't just going to be defined by the market. I believe we grew faster than the market distinctly in Flavors and I believe, in a large number of segments in fragrances because we have got really winning fragrances and winning flavors. And we are going to continue to press that. If we see volumes deteriorate we will have to make adjustments, but I don't want to theorize on where or how we will do that. We have ongoing things. We want to improve our footprint, our supply chain, but that we are going to do because it is the right thing to do. We might accelerate it in certain areas but we are going to continue to pursue our internal initiatives and that is what is really behind this improvement plan to have a leaner, more focused, more effective organization.
Operator: (Operator instructions) Moving on to Mike Sison with KeyBanc.
Mike Sison – KeyBanc: Hi, guys.
Rob Amen: Hi, Mike.
Mike Sison – KeyBanc: When you take a look at ’09, maybe you can just give us a feel for, you know, in total what you're doing internally that you know can keep earnings on an uptrend and given, you know, assuming foreign currency holds where it is now and, you know, what type of volume or market demand backdrop would you need to see to keep your earnings sort of on that positive trend in ‘09 versus ‘08. Is there enough there internally and what may be new product wins that could offset the foreign currency and some other negatives that you have to grow earnings?
Rob Amen: Mike, good question, tough question. Let me see how best I can answer it. First of all, if the dollar stays where it is and it's about a 5% drag all year, that's a $0.20 to $0.25 drag on the potential for the year.
Mike Sison – KeyBanc: Okay.
Rob Amen: And that if it just stays, you know, where it is for the entirety of the year and doesn't come back and certainly forecasting the dollar is something I don't feel we have the expertise to be able to pull off. The internal initiatives are those that, you know, and some additional, you know, we finished our outsourcing of the back office of finance that will have a benefit next year. We have a number of initiatives. We have talked to you about the businesses of extenders and materials, lower cost. We are working with our customers. If we get all of our internal initiatives achieved and that is, you know, that's not entirely locked down. I mean there is always a risk to timing and to the magnitude and volume was roughly flat I think we, you know, we would deliver an increase in earnings. So you know, we don't believe this year is, you know a year where it has only got a downside. We've got to do a lot of things right to be able to deliver an increase in earnings, but it is extraordinarily difficult to trust or forecast the circumstances of our customers and the currency markets. We are going to stay as I indicated, we are committing to a long-term plan and that's what we're holding ourselves accountable to.
Mike Sison – KeyBanc: So I guess the way to look at it Rob, is that you are looking for market demand to be down, you know, 1% to 3% and then you would all perform to get the flat volumes for the full year.
Rob Amen: I don't think we are seeing market demand being down 1% to 3%. I mean I – I mean just take a look at the Flavors business over the course of 2008. We said was up 6. Yes it was up roughly 3 in the second half. The second half was as tough as second-half with the sharp reduction in the US GDP. So, in our fragrance business, which really started out with the burden in the first half recovered and was down a fraction of 1%. So I mean we're looking and believing that things are to be, you know, as I said very close to 0 maybe a little above, maybe a little below on a global basis. If we do well we can be above that. There is always a risk that the markets will be weaker than that and there is the potential that they be somewhat stronger. But this is not a year that is a wipe out by any means. I think we can do well and with the platforms of excellence, the product introductions, I think we're winning a lot. You know, I'm very impressed with what our fine fragrance team has done. You know the fourth quarter was probably a tougher consumer spending quarter as anybody can recall and our fine fragrance sales were up nicely because we had enough new wins to overcome whatever the market did and we are seeing that functional fragrance did a nice job. The fragrance ingredients really varies along with the overall market and as I said I think our Flavors team is just on a roll and continues to win for lots of good reasons. So, you know, we are still looking to try to make 2009 positive.
Mike Sison – KeyBanc: Right thank you.
Operator: (Operator instructions). We'll take our next question from Jeff Zekauskas with JP Morgan.
Jeff Zekauskas – JP Morgan: Hi, good morning.
Rob Amen: Jeff, it is nice to see you over here.
Jeff Zekauskas – JP Morgan: Good. In your press release in one part you say that the unusual tax benefit was $17 million and then in the fourth quarter highlights, you say excluding tax benefits of $20 million. What is the difference between the 17 and the 20.
Rob Amen: Jeff, there are small items that when pulled together don't have a significant impact on a net income basis, but in looking and trying what a normalized effective tax rate we wanted to highlight the difference. But did the one transaction itself was the $17 million and then we had some small adjustments to pluses and minuses to our deferred tax balances and our accruals that on a cumulative basis was another $3 million bucks.
Jeff Zekauskas – JP Morgan: Okay, and second Richard, do you have that helpful slide very you show your input costs hurting you by $0.47, and I think you said that the net detriment for the year was about a dime, and so you know, if you make a couple of calculations what that would point to is your prices being up about a couple of percent this year, is that correct?
Rob Amen: Yes that is in that range. I mean it is in the range of 2% pricing.
Jeff Zekauskas – JP Morgan: Okay, I guess just a general question for Rob, when you look at 2009 do you think the Flavor business will be stronger of the Fragrance business or do you think that there will be a different pattern in terms of quarters?
Rob Amen: Pardon me as I put my car-neck [ph] hat on Jeff.
Jeff Zekauskas – JP Morgan: Thank you. Or if you can’t tell that is fine too just, you know, if –
Rob Amen: Sitting here today I would believe that our Flavors business will probably have more favorable comparisons to our fragrance business, given that risks, you know this downturn we are now seeing accelerated in Europe. I think it will impact fine fragrance in Europe.
Jeff Zekauskas – JP Morgan: Yes.
Rob Amen: You know, it is not clear. We are seeing good stability in functional fragrance, but I think that the burden for fragrance business is really going to be consumer discretionary, and that is possible for me to forecast. The Flavors business they've just done a good job, their broad-based. I think they've got a lot of good things going on there, maybe a little bit better market dynamics. So, I would anticipate flavors being a little plus up to the fragrances. That is helpful and then lastly in the quarter you said in the release that your compensation expense in the fragrance unit was lowered by about $10 million versus the previous year. A sort of – can you talk about the magnitude of that charge, and why wasn’t there any comparable charge in flavor unit. There was a decrease of about $10 million related to incentive with the fragrance business, and there was about as I mentioned earlier in the comments about (inaudible) in Flavors for the quarter. So it was a reallocation between the corporate component of it and the two business units when we made the adjustments in the third quarter, and we reallocated. We did it at about a global level, but we at that point in time hadn't gone back and said this is the piece business by business and the corporate component of it. So, we're shifting just internal costs between the three components.
Jeff Zekauskas – JP Morgan: And Richard, what you think your tax rate will be next year?
Richard O'Leary: You know, on a normalized basis we were at about 27 1/2% this year. I would expect that inch downward next year. You know, in the range of, you know (inaudible) would be maybe 27, but it is going to go down you know, a couple of basis points.
Rob Amen: Jeff, let me come back. You raised a good point of incentive comp. Our pay for performance system here, you know, we adjusted, we made a big point of what we are doing with incentive comp, overall, but it also varies by the performance of the business unit and that is all you are doing as we were allocating as Rich says. Incentive comp is down in a way from ‘07. If we achieve our full plans next year, incentive comp would go back up, which is we assume in our planning that (inaudible) we will in fact achieve the plan and then we would make target incentive comp, and that would be a delta of something between $15 million and $20 million.
Jeff Zekauskas – JP Morgan: That is helpful. Okay thank you very much.
Operator: (Operator instructions) We will take a follow-up from Lauren Lieberman with Barclays.
Ryan Bennett – Barclays: Hi. Just a very couple of quick ones actually, I just wanted to circle back on some comments that were made on the fine fragrance segment. As I understood it, it was beauty care and toiletries that was weak and not the perfume and cologne piece of that business.
Rob Amen: That is true on our performance not the market comment – that is our performance.
Ryan Bennett – Barclays: On your performance, I guess what I'm trying to understand maybe just that one segment alone, given the pretty significant declines we are seeing in that category now. Is it that you're not seeing destocking because you already had it earlier in ‘08, and that you are not going to see an additional wave. Are you actually seeing some changes in your order rates in January based on how the holiday season was. I just, may be trying to get an understanding of how that businesses is looking.
Rob Amen: Very good and fair question. You know, I think there is no topic we have spoken of more than fine fragrance. That was a massive inventory correction that occurred in the first half of the year and, you know, we thought we would see it play out pretty much by the end of the third quarter. We think that is what happened. There might have been a little bit within the normal bands in the fourth quarter. We may see a little bit more. It maybe in Europe a little bit more than the United States, but the real reason on our fragrance folks are doing better is because they have won more business. We had a much better win rate and that and we knew that starting early in ‘08, and that is why over the course of the year we were optimistic and said we believe the comparability numbers we're going to start to look good. I am not aware – we are not seeing anything right now that suggests there is any kind of repeat on the inventory correction that we saw a year ago. The first-quarter ‘09 numbers look to be more stable.
Ryan Bennett – Barclays: Okay, and then to the functional side where you said there might be more of a challenge for the Fragrances business this year. Are you seeing, it's just because it sounds there is pantry deloading and then retail destocking and then who really knows what is happening with the distributors and the manufacturers themselves have inventory to work through. Have you really not seen any changes there in reorder rates from your customers yet, or how should we think about that business in ‘09. Is that something that it will be down maybe?
Rob Amen: Be more challenging. I said the challenge is going to be in fine because of the uncertainty. Functional has been very steady and if you look at the quarter, the sequential comparisons as we went through the year, functional fragrance has been very stable, you know, it was up 3% in the first quarter versus the prior year, then it was down 1% on the second, flat in the third, and up 1% in the fourth. So, it has actually been fairly stable and that's the kind of put it takes. We – there are at any given time somebody doing, you know, product changes so they destock or they are stocking up and we have seen a little bit of that amongst the majors, but we haven't seen a massive destocking by the – our customers for whatever reason. There has been some normal typical surprises up and down, but nothing significantly and at this stage as we look out we don't see it in the immediate future.
Ryan Bennett – Barclays: Got it, okay. And then just two very quick questions. One, now that some global cost savings are clearly coming through and the pricing seems to be sticking, and the raw material picture is beginning to look better, I understand of the benefits we won’t be seeing until the second quarter. Thinking about ’09, even if volumes are weak, do you think that we could see year-over-year margin improvement?
Rob Amen: I think if on operating margins, yes, because most of the problem is, you know, pension expense, incentive comp is going to be below line. If we get our margin initiatives underway, gross margins – yes, gross margins I think we are looking to head up, you know, head up.
Ryan Bennett – Barclays: And that the 18% operating margin target.
Rob Amen: It is going to be impacted by the mix. It is going to be by region in some currency but over time I think we're going to trend higher. It won't be a smooth line.
Ryan Bennett – Barclays: Okay, and then in terms of the 18% operating margin target, is that still something that seems feasible for you today?
Rob Amen: Well, you know, it's a long way from where we are today and I'm not going to tell you we are going to make it no matter what, but we're not quitting on it. That is our goal. We are going to get there and I think I said as much as a year ago we don't get there by the end of the year, we will continue to push on it but we believe we can get there and that is important for our business to provide the kinds of profitability we need to invest in people and technology and facilities going forward. So, we want to get up above 18%.
Ryan Bennett – Barclays: Great. And the very last question is just if you could provide an update on how the CFOs are just going.
Rob Amen: It is going.
Ryan Bennett – Barclays: Right okay.
Rob Amen: (inaudible)
Ryan Bennett – Barclays: Got it. Okay, thank you so much.
Operator: And we'll take our final question from John Roberts with Buckingham Research.
John Roberts – Buckingham Research: Good morning guys.
Rob Amen: Good morning John. How are you?
John Roberts – Buckingham Research: I wanted to understand the compensation allocation on accounting process, so it doesn't affect the bottom line but your crew at the overall company level and then late in the year, the fourth quarter, you figure out what the allocation is going to be between Fragrance and Flavors depending on their relative performance for the year.
Rob Amen: We try to do it as we move through the year. If you recall, we made a major shift in the third quarter, which we took at the corporate line and all this is okay now. We are going to push it down from the corporate to the two businesses. That's – it was simply that.
John Roberts – Buckingham Research: Okay. So it is just affecting the presentation of the two segment results.
Rob Amen: Yes, it is correct.
John Roberts – Buckingham Research: Secondly, I think you said first-quarter ‘09 at current currency rates you might have a $0.04 to $0.06 earnings headwind and then I think, you said at current rates it might be $0.25 for the full year ‘09. I would expect by the fourth quarter of ’09, you kind of anniversary the current rate. So, you would have a very small effect if any in the fourth quarter ‘09. How do we – in the first three quarters here how do we go from 4 to 6 in the first quarter to 25?
Rob Amen: Had a significant impact in the second and third quarters, which is when the dollars weakened the most during 2008.
John Roberts – Buckingham Research: So it will be high single digits to approaching $0.10 in the second and third quarter at current rates, meaning if you are 4 to 6, midpoint is 5, we are talking close to $0.20 in the second and third.
Rob Amen: We haven't done that detail and I probably shouldn't have – I was just, you know, just sort of extending the $0.04 to $0.06 over the course of the year, which probably was not the most accurate way to do it. It is going to be a drag and I think it is going to be most pronounced in the first half and a little bit less on the second half, but it will still be there.
Richard O'Leary: I still think it'll be most pronounced in the second and third quarters.
John Roberts – Buckingham Research: Okay.
Richard O'Leary: Weakened the most, I think (inaudible) significantly in the fourth quarter. So –
Rob Amen: But as we are not going to – we will keep you posted on that as we progress, but we're not going to be forecasting the quarters ahead.
John Roberts – Buckingham Research: Lastly, when raw materials spiked upon your customers they did some reformulation to try to lower their base material costs and that gave you an opportunity to go in and adjust the fragrance package to match the new base materials. With raw materials coming down is there a reformulation that occurs again at the customers that may be allows you to get in and change your products and give you some mix effect here.
Rob Amen: You know, our customers are always looking to improve the effectiveness. I don’t know that they are going to want to go back and reformulate to a higher cost, because the materials, if it is – if the product is performing with the consumers and they are happy in a commercial sense, I don’t think they are going to mess with it. They are always after us for ideas on how do we improve the effectiveness and the cost of their products. So that is an ongoing part of our business. I think we have already started to see some of that reformulation benefits flow through. There will be more of that in 2009. That is an ongoing part of the business.
Operator: And it appears there are no further questions at this time.
Rob Amen: Well, thank you all very much for taking the time and we look forward to speaking with you in the future, and should you have any issues, feel free to call Rich or me, and good luck to you.
Operator: This concludes today's conference. We appreciate your participation.
Rob Amen: Thank you Sunny.
Richard O'Leary: Thanks Sunny.